Operator: Greetings. Welcome to The Kraft Heinz Company Third Quarter 2025 Earnings Call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the conference over to Anne-Marie Megela, Head of Investor Relations. Thank you, Anne-Marie. You may now begin.
Anne-Marie Megela: Thank you, and hello, everyone. Welcome to the Q&A session for our third quarter 2025 business update. During today's call, we may make forward-looking statements regarding our expectations for the future, including items related to our business plans and expectations, strategy, efforts and investments and related timing and expected impacts as well as statements regarding the proposed separation of Kraft Heinz into 2 independently traded companies. These statements are based on how we see things today, and actual results may differ materially due to risks and uncertainties. Please see the cautionary statements and risk factors contained in today's earnings release, which accompanies this call as well as our most recent 10-K, 10-Q, and 8-K filings for more information regarding these risks and uncertainties. Additionally, we may refer to non-GAAP financial measures, which exclude certain items from our financial results reported in accordance with GAAP. Please refer to today's earnings release and the non-GAAP information available on our website at ir.kraftheinzcompany.com under News & Events for a discussion of our non-GAAP financial measures and reconciliations to the comparable GAAP financial measures. I will now hand it over to our Chief Executive Officer, Carlos Abrams-Rivera, for opening comments. Over to you.
Carlos Abrams-Rivera: Well, thank you, Anne-Marie, and thank you, everyone, for joining us today. I am encouraged by our progress in the third quarter, recognizing there's more work to do to navigate today's complex environment. We delivered a modest year-over-year recovery in the top line performance, showing progress versus the first half of the year. That said, the operating environment remains challenging with worsening consumer sentiment and ongoing inflation influencing buying behavior around the world. To reflect our third quarter results and the expected continuation of these macro trends, we have updated our 2025 outlook. We remain on track to separate into 2 independent companies in the second half of 2026. And while we manage that transition, our priority is to drive performance today and position both businesses for long-term success. I want to thank our teams for their efforts and our customers, consumers and shareholders for their support. With that, I have Andre joining me, so let's open the call for the Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Andrew Lazar with Barclays.
Andrew Lazar: Carlos, in light of the weaker consumer sentiment that you've talked about, we are seeing a number of food companies sort of lean in more aggressively on investment spend, both pricing related and broader A&C. I guess I'm curious how much of the '25 profit revision, if any, is due to more aggressive spending behind the brands than initially contemplated versus just the impact of sort of higher costs and volume deleverage. And if there's not significant additional spend, I guess I'm curious why wouldn't more make sense now to help jump-start volume improvement in a still tough consumer environment as you think towards next year?
Carlos Abrams-Rivera: Let me have Andre kind of give you a little bit of context how we think about the updated guidance and I kind of fill in some additional information.
Andre Maciel: Thanks for the question, Andrew. The profit revision is not linked to incremental investments beyond what we had previously communicated. The profit revision is a function of lower expectation on consumption in the U.S. which we can talk more about that, is a function of elongated recovery on Taste Elevation, which has been improving in a meaningful way, 70% of the revenue now is gaining market share. However, the recovery is still slower than what we anticipated. So there is a mix component to that. And we face incremental inflation in Meat and Coffee, and we didn't price certain elements of it due to competitive dynamics. And we had a few other one-offs affecting our supply chain results in Q3 that should not be expected to repeat in Q4. However, they stick in the year. Remember, though, that for this year, we are increasing promotional investment around $300 million in the U.S. We have $80 million-ish of incremental marketing spending in media. We have more R&D investments, and we have incremental headcount in selected areas, mainly commercial-related functions. So we are adding relevant investments on the business. And we don't think that adding more price at this moment will yield results. The investments we have made already allow us to have opening price points in critical categories to the retailers and to the consumers. We have investments in Meat and Cheese, in Frozen Potatoes, in Mac & Cheese and a few others. We don't believe adding more marketing at this point. Remember that the entire marketing investment increase is concentrated in the second half of the year. So we don't think going even further beyond that would deliver returns at this point. However, we are open in the future to add more marketing as we continue to go deeper in our brand assessments. But at this point, we don't think it's a matter of putting more investments.
Carlos Abrams-Rivera: I think the one thing I would add, Andrew, is, I mean, listen, we think about this at our company as a very much a consumer-centric brand-driven company. So for us, what is important is that we're building brand for the long term. So when we think about stepping up investments, we are thinking in terms of the -- what Andre mentioned in R&D, in marketing, continue to drive the renovation of our products because I think that is going to be the way for us to be successful over the long term. I think the fact that we have concentrated our effort behind our Brand Growth System to make sure that we are continuing to bring distinct attributes that consumers value, that's going to be the way we continue to be able to be successful over the long term. And by the way, I think some of the pricing that we have done strategically in terms of promotions have worked. If you look at our back-to-school campaign, we were able to actually be successful in able to drive great returns behind the key brands that we focused during the back-to-school campaign, Capri Sun, Lunchables, Jell-O. So I think we are going to continue to be tactical in our investments, but really building our brand for the long term. Thanks for the question.
Operator: The next question is from the line of Peter Galbo with Bank of America.
Peter Galbo: I wanted to ask maybe a more conceptual question around the spin. And really, if I think about it, one of your CPG peers is going through a similar dynamic right now in terms of kind of a split and you're living kind of parallel lives, I guess, for lack of a better word. In the case of your peer, right, there was an announcement, the market responded the way that it did, and there's been a pivot on their behalf, not in terms of pursuing the split, but in terms of how they're going about it, right? There's been an alteration in terms of the path forward. I wonder just as you've solicited feedback from investors and as you've heard from investors since your announcement, has there been any thought as to a pivot for Kraft Heinz, whether that means the leadership isn't the way that you thought it would pan out, the brands that you announced at the spin now, maybe some of them move from one to the other. Just any thoughts, again, as you've heard feedback that you may potentially pivot versus the initial announcement?
Carlos Abrams-Rivera: Well, thank you for the question. And listen, I think that -- let me give you a little bit of the context of how we ended up with the decision. We have spent a number of months working with our Board of Directors to make sure we felt that we were going to do something that was going to be unlocking shareholder value. And we believe in the fact that we create 2 stronger companies that can be more focused for us to drive that unlock the shareholder value. And if you think about our 2 companies, I think we have already shown that we have a playbook that we have focused on in a part of our business that will be part of the Global Taste Elevation. In fact, if you look at our Taste Elevation progress in the Q3, you are seeing already that, that playbook is working, that, in fact, we are improving our dollar sales that we're improving our share position. And in fact, in September, we gained share in 70% of the U.S. Taste Elevation business. So the playbook that we have has been working, and we want to apply it now to both companies with the right amount of resources and support. Having said that, we also have said that we are going to continue to look at opportunity for us to think what is the right way to support this with the right amount of experience, capabilities and technical resources. So I think that's something that we'll continue to do as we think about the announcements that we'll have ahead of the second half of the year with the management teams and the way we're going to create the right operating model for us to grow. So our focus remains on us doing the right thing by us creating these 2 companies. And really, in every situation, and you picked a particular peer that you had in mind, the reality is that there's many other examples of people who have done this. For us, what we're trying to do is, well, it's the right thing to do for both Kraft Heinz and our shareholders.
Andre Maciel: The other thing I'll add is, look, comments on perimeter and balance sheet. On the perimeter front, we -- as we said before, we decide this perimeter: one, to allow focus; two, based on growth history and growth potential of the different brands, the margin profile and the synergies. So as we go deeper now, we're doing all the bottom-up work. There's a lot of work going on, as you can imagine. If at any moment, we think it might create more value to shareholders to have some adjustments, we will. But at this point, we think we did the right thing because we put a lot of thought before that. The second, the balance sheet. I know there was initially some maybe misunderstanding about what we intend to do with both companies, and we try to clarify that in the subsequent forums. So we said we are targeting both companies to be investment grade. We are committed to ensure that we keep the net debt at reasonable levels. We put -- even the prepared remarks, we were very clear. Our capital allocation priorities have not changed. And the second one after organic investments is to maintain the net debt at or close to 3x, and we're committed to do that, which should allow both companies to have good balance sheets with optionality. And a clarification, when you say we want to have company investment grade, for us, net debt is below 4x. And obviously, the specifics, we're going to be still discussing in the coming months and discussing greatly in agencies, but we are committed for that as well.
Operator: Next questions are from the line of Tom Palmer with JPMorgan.
Thomas Palmer: I wanted to just ask on Emerging Markets. It seems like excluding Indonesia, trends were more encouraging. I guess, one, and you did provide some commentary here on Indonesia from a sales overhang. But how big is Indonesia within Emerging Markets? And then when we think about the fourth quarter, the mid-single-digit growth guidance for Emerging Markets, what does that assume kind of for the business ex-Indonesia and Indonesia in terms of potentially seeing some improvement?
Carlos Abrams-Rivera: Well, thanks for the question. Let me start, I guess, with the point of the context of Emerging Markets. You're correct. There is great progress outside of Indonesia, and we have continued to see the -- not only the success in terms of growth, but also the continued improvement in terms of that growth. I think for me, what it also gives me confidence is the fact that we think about the $1 billion that we have in the Emerging Markets, that actually is accelerating and is accelerating because of our key brands like Heinz, where it continues to show a tremendous amount of growth. In fact, in emerging markets, our Heinz brand year-to-date is growing 13%. So I think for us is we continue to see that as a value piece of our portfolio and one of our key growth drivers as we think about the future. In the case of Indonesia, top line is about $0.5 billion business. And frankly, what we have seen is a meaningful decline in consumer sentiment that has led then to the softening of demand. In fact, I think that the consumer sentiment in Indonesia year-over-year is about down almost 10 points in terms of consumer sentiment. So that has led to the sellout -- reducing the sell-out growth expectations and some of the challenges that we have seen in terms of our distributor -- particular distributor in the country and also how that has disrupted the overall our own business. At the same time, this is something now we're taking actions to make sure that this is only something that we can correct into the future. So we are rightsizing the inventory to the right levels. We are transitioning to a new distributor, and we're also making sure that we're reducing the pricing stability that happen in the country, while we continue to invest in Indonesia in terms of our marketing of our brand and ABC is the largest brand that we have. And we believe that us continue to drive superiority on the brand equity, making sure we continue to drive the -- also penetration in a meaningful way is going to be the best way for us to getting Indonesia back to where we wanted to be in terms of contributing the growth to the business.
Andre Maciel: Just to add to that, we -- Emerging Markets aside from Indonesia grew 9.2%. So it did accelerate in a relevant way compared to the first half of the year, as we have said before. Indonesia, just maybe a little more specific, is close to $300 million revenue. So it's like 12% of the emerging markets business. So still relevant, but not massive. And we do expect the recovery in the P&L only to happen in the second half of next year because we still have adjustments to do into Q4. In Q1, there is Ramadan, which is very important for Indonesia, a big seasonality in that business, so -- which will affect Q1. So we really head into Q3, end of Q2, Q3, we're going to see the recovery there. Yes, but I think what is good is we invested a lot in this business in the past 2, 3 years. There was a lot of marketing investment to put the ABC brand, which is the leading brand in several categories in a very good spot. So market share standpoint, things are doing well, but we have to make the adjustments on the distribution network.
Operator: Our next question is from the line of Steve Powers with Deutsche Bank.
Stephen Robert Powers: I don't -- Carlos, I don't believe I saw it anywhere this morning, and apologies if I missed the relevant disclosure, but are you able to frame maybe pro forma the performance of Global Taste Elevation Co. versus North American Grocery Co. in the third quarter? And then also update us on how you see those businesses progressing into the fourth quarter, just so we can better assess momentum into '26 and eventual separation. And maybe alongside that, Andre, I don't know if you -- where you're -- sort of where you are in this process. But as you think ahead towards separation, I'm just curious if you have a more formal estimate around any onetime restructuring costs or cash costs that Kraft Heinz is likely to incur in preparation for the split? I'm just trying to see how we should handicap those dynamics over the next 3 or 4 quarters.
Andre Maciel: Sure. Thanks for the question. Look, both companies -- both 2 big companies pro forma declined low single digits in the quarter. We see the Global Taste Elevation trajectory improving and in the very low single-digit territory at this point. And the expectation is for Q4 that to continue. So our main priority is to put the Global Taste Elevation back to growth in 2026 as it has grown for several of the last 15 years. And so that's the priority #1 to us. The North American Grocery Company had a significant improvement in trends in the third quarter compared to the first half, but also declining low single digits, though more than the Global Taste Elevation Company. But the priority #1 for the North American Grocery Company now is to ensure that we have stable cash flows heading into '26. And -- but in parallel, we're working hard to make sure that this company also has the prospects of growing low single digits into the future. In terms of one-off costs, I think it's [ a case ] to talk about that. There is a lot of work in motion right now. We are committed to be very, very disciplined with the use of cash like we have been. So you can see our results despite the EBITDA decline, our cash flow is up year-over-year, and it's going to continue to be the case here to go. So count on us to be very disciplined and do the right type of investments that are needed to put those 2 companies set up for success.
Carlos Abrams-Rivera: Yes. Let me just add then particularly as we think about the North America grocery company. I think if you look at our history, we have proven that we can be an efficient operator. So as we think about our separation, we're going to have the same level of efficiency as we think about how do we actually drive both of those companies. And I think that beyond that, we also have been a great and a confident company in terms of delivering strong cash flow for our shareholders. Now I would also point out the fact that I mentioned earlier that we have a playbook that has worked. Some of that playbook, we actually already have deployed to some of the key brands that will be part of North American Grocery. So if you think back to Q3 and our results on Lunchables, on Capri Sun, those are brands that now in the future will be part of North American Grocery, and we were able to return to growth. What will happen as we go into these 2 separate companies and we can create 2 more focused companies, we can then put the right level of attention and resources to allow both of those companies and to fulfill their true potential. So I think as we go into the -- going forward, the attention of management remains in us making sure that we continue to see the progress of the company because that will support both companies as we exit into the second half of 2026.
Operator: The next question is from the line of David Palmer with Evercore ISI.
David Palmer: Great. In your slide presentation, you noted several of those key categories where you're clearly improving in terms of market share. Your guidance for the fourth quarter doesn't imply much improvement. And I just wanted to get your thoughts about maybe offsets. Is it categories that you're in? Are they slowing? Maybe there's some offsetting brands where you're seeing a little bit of deterioration? And then separately, there's that story of the promotion spending that you -- those investments, the $280 million that you're making. that's maybe 2% of North America retail sales. When we track in scanner data, I know these are audited numbers, but it only shows like that your volume on promotion is only up -- is only down, I'm sorry, 1%, basically unchanged. I'm just wondering what is going on with your promotions? Maybe you could tell us better than what the data is showing us, which doesn't show us much in terms of what activity you are doing?
Andre Maciel: Sure. Thanks for the question. So first, regarding Q4, you are right. The outlook implies revenue in Q4 worse than revenue in Q3, about 100, 110, 120 basis points. We have inventory phasing in -- especially in North America, especially in the U.S. So we do expect this headwind of inventory to be north of 100 bps for the total company. It's a combination of inventory phasing Q4 last year to January given some timing of promotion and some September, October. We also do expect lower consumption in Q4. And that's -- so the inventory has been in our outlook for a while. There's nothing new. The different aspect that also was one of the reasons why we adjusted the expectation for sales down year to go is related to the softness in consumption. So we saw throughout Q3, the industry decelerating further in the U.S. In October, aside from hurricane noise, it also started soft. So we do expect the market share to continue to improve, especially in Taste Elevation, but we should expect share to improve, but we expect the industry to get worse. So that results in the consumption overall in the U.S. to be relatively flat to Q3, but with the inventory then headwind impacting us. The second part of your question?
David Palmer: The promotions.
Andre Maciel: On the promotions. So we concentrate promotion mostly about the key holidays. So our highest market share in the year historically is in Thanksgiving and Christmas. So we do have a lot more promotion activity around this upcoming holiday. Part of the investments we have made, they were to secure incremental distribution. So that's part of joint business plans that we do every year with the retailers, and we were very intentional in some cases to ensure that we expand distribution, which we have been generally getting. And in some other cases, we did invest deeper than what we would normally do during back-to-school to ensure that we can accelerate consumers trying the renovated products. So we focus a lot on trying to drive units to have those household penetrations coming in. And the expectation that this will eventually generate repeat purchases, which will help with the sales in the future. Remember, we said that at the beginning in the last quarter that we will try to do different tactics to accelerate this consumer trial of the new products. So we see that. The ROIs of those are not good, to be honest, the lifts are low. And maybe that's why when you look at the syndicated data, you have this perception.
Carlos Abrams-Rivera: But I think let me add a couple of things. I think, first of all, we talked quite a bit about the U.S. because if you think about our total company, the reality is that while we're seeing some pressure in Europe in terms of the consumer, particularly in the U.K., we actually are holding our share in a moment in which the U.K. consumer also is seeing some challenges. And I mentioned earlier, Emerging Markets, where we've seen actually strong growth, whether it's in Brazil, the recovery in Mexico that we feel great about, the stability in China and really is Indonesia aspect that has been kind of holding us back in terms of getting to the double-digit growth that we can see in Emerging Markets into the future. So I think from that perspective, it is why we spent quite a bit of time talking about the U.S. And if I do a double-click on what some of the things Andre mentioned, the reality is that we are seeing some inventory pull back from customers. And I think that's a response to what they're seeing in terms of the consumer sentiment. So the fact that we have now one of the worst consumer sentiments we have seen in decades, as we go into even a holiday season, we're already seeing how customers are pulling back on inventory, and that's reflected in our guidance as well, too. So it is a unique moment right now in which this is getting -- the consumer negativity and the sentiment is extending longer than we had originally expected. And we are seeing already on top of that, that customers are also adjusting their own level of inventory to accommodate for that.
Operator: The next question is from the line of John Baumgartner with Mizuho Securities.
John Baumgartner: Just sticking with the promotional environment in U.S. retail. Despite the joint programming with retailers that you mentioned, Andre, and the larger investment dollars and the improving analytics, weak promos seem to be a theme right now across the center of the store. And Carlos, you mentioned some success with your lips around back-to-school, but lips have also been weaker in other parts of your portfolio as well. So I'm curious what you're finding that's working differently in the areas where the lips are stronger. Is there a distinction there? And then what changes are you making, if any, to your promo approach into '26 given the consumer environment?
Carlos Abrams-Rivera: I think there were about 3 different questions in there. So let me take one. I think there's a part of it you were getting at is some of the success we've seen in back-to-school. And for us, I think one of the things that we were playing in back-to-school, and I think we did that effectively is how do we make sure we are winning in those key moments in which consumers are going disproportionately to stores. So back-to-school was actually one of our first pilot in which we kind of created a whole more executional approach of how we leverage the entire brands together during that particular moment. So what you saw is an improved in-store display and increased investment both in marketing, but also in the promotional aspects inside of the retail environment. And that actually helped us make sure that we have a cross-selling where brands cross-shopping purchase improved by 60 bps. We also saw that improving in base velocity as a result of the investments that we make in back-to-school so that when consumers were going to the store, I mentioned the fact that we have brands like Lunchables and Capri Sun. So when they go to a back-to-school time period, they were actually experiencing a product that we had now renovated in both Lunchables and Capri Sun. So that actually helps us for us to the long term to make sure we continue to build a stronger base volume as we go into the future. And I think those are key learnings that we'll take as we go into the holidays as we go into key also moments into the future. I think that was one of your questions. Andre, I think you want to address some of the other pieces.
Andre Maciel: And maybe just to complement. So what you have seen working better generally is more on higher frequency than deeper discounts. So -- and we see overall lifts coming down year-over-year. The ROIs are lower than they were last year, generally in part because of higher overall incremental activity, which dilutes the lift across different players, but also in our case, as I mentioned before, because we're going deeper in certain occasions to drive household penetration. As we head into next year, we have a lot of tests running in selected places to see different type of tactics that could work well, including in some case, cross-merchandising and bundling products, putting -- adding more events in e-commerce, trying to maybe go less deep and less focus on key holidays and maybe spread these resources around in a more harmonic way throughout the year. So there are a set of different things that the teams are currently assessing to make sure that we can improve those returns into next year again. Carlos?
Carlos Abrams-Rivera: Yes. The one thing just to complete the thought on your question is, I think right now, we're also seeing some challenges with the consumer. But I think what we are looking to do and the game that we're playing for the long term here is to make sure we continue to invest behind our brands to drive superiority from a consumer experience perspective. I do think that right now, the challenges we're facing are more cyclical in nature. So for us, it's important that as we get out of this particular era in which consumers are feeling with a down sentiment that we come out of it with a much stronger portfolio with stronger brands. So I do think that we are preparing ourselves not to just be victims of the moment, but actually stronger -- building a stronger company for the long term.
Operator: Our next question is from the line of Robert Moskow with TD Cowen.
Robert Moskow: I wanted to drill in a little bit on the commoditized categories, Carlos, like Coffee and Meats. And I guess, Cheese to some extent, these 3 categories are going to be like 40% of the sales of North American Grocery. And as you can see in your results here, Sliced Meats and Coffee have become really problematic. I guess I wanted to know, have you started rolling out the Brand Growth System to these categories? Is it harder to implement it in these than it is in the others? In your CAGNY presentation, you yourself said that you have a much lower right to win in coffee and meat. And as a result, does that make it harder to get traction with Brand Growth System than the others? Hello? [Technical Difficulty]
Operator: Please stand by ladies and gentlemen, we'll resume momentarily. Ladies and gentlemen, please stand by. We are experiencing technical difficulties. We will resume momentarily. Thank you. [Technical Difficulty]